Operator: Good day and welcome to Tata Motors Q3 FY '23 Earnings Conference Call. I'm joined today by Mr. P.B. Balaji, Group CFO, Tata Motors; Mr. Girish Wagh, Executive Director, Tata Motors; Mr. Shailesh Chandra, MD, Tata Motors Passenger Vehicles Limited and Tata Passenger Electric Mobility Limited; Mr. Adrian Mardell, Interim CEO, Jaguar Land Rover; Mr. Richard Molyneux, Acting CFO, Jaguar Land Rover, and my colleagues from the Investor Relations team. Today we plan to walk you through the earnings presentation followed by Q&A. As a reminder, all participant lines will be in listen-only mode and we will be taking questions via the team's platform, which is already open for you to submit your questions. You are requested to mention your name and the name of your organization while submitting the questions. I now hand over to Balaji to begin the presentation.
P.B. Balaji: Thank you. Once again, thanks, everybody for taking the time to join the call. As is customary, let's run through the deck at reasonable clip and thereafter spend as much time as possible on Q&A. So customary Safe Harbor statement. Nothing to report here other than the normal one that is the segments. Again, draw your attention to the changes that we have done over the last one year. So that's up there. Next slide, please. The quarter as such was a pretty intense quarter and I draw your attention to the Auto Expo, which I'm sure Shailesh and Girish will quickly touch upon their slides as well. A pretty intense affair and an exciting presentation from Tata Motors across the whole team of moving India and something that have been very well received in the market as well. We also completed the acquisition of the Ford facility in Sanand, and this is now completely -- we're now getting into the integration of employees there. We also issued a drawdown notice for the tranche two of the 3,750 crores, $500 million to TPG Rise and the funds are expected to be received by end of January. And JLR order book, which I'm sure, and the semiconductor situation is something that Adrian is going to talk about. Next slide, please. Overall on the quarter, a very satisfying performance with a revenue of 88,500 crores, EBITDA of 11.1% and the profit before tax of exceptional items of 3,200 crores. Growth of 22.5% and an EBITDA improvement of 90 bps and an EBITDA improvement of 270 bps. The key call out here is that after long time, all the three auto verticals are actually profitable and improving their performance and therefore that's driving the margin and HCF improvement that you see and we hope to sustain that in the coming quarters as well. Next slide please. The source of growth, a lot of it coming from volume and mix and of course pricing starting to come through as well as we start taking pricing above and the inflation starts stabilizing. Profitability improvement coming across JLR, CV, PV, which is what I referred to earlier. And the only fly in the ointment is the losses we've taken in Tata Motors Finance something which I'll talk about towards the end. Automotive debt down to 57,500 crores. And the point that I'm sure there's a question that's going to come in the case of JLR, we do see a stretch in meeting the net debt zero targets. So we will update where we are on this in the end of March. Again confident in TML India as far as that number is concerned, we should be able to get it to net zero there. So intention is to work on all other areas as well. Next slide please. So with this, let me hand you over to Adrian to take us through the presentation on JLR. Adrian over to you.
Adrian Mardell: Yes. Thanks, Balaji. Next slide, if you would, please. Okay, so these are our KPIs for the quarter standard format you see versus last quarter and then the same quarter last year. Retails were slightly lower than last quarter. We'll get into the details of that a little bit later. We did improve significantly our deliveries of MLA units Range Rover, Range Rover Sport. They principally get targeted to North America and to China. North America was actually up 34% quarter-over-quarter and China was lower because of the COVID shutdowns, just a punch-line. But you'll see that more detail later. Revenue because of that strengthening mix and the overall increase in wholesales. wholesales sales did actually increase by 5.7% versus last quarter. Significant increase. Significant improvement. You can see that above the 6 billion level and we anticipate being above 6 billion revenue for the foreseeable future. Of course, PBT was very strong, breakeven points are still below 300,000 units annually, 75,000 units per quarter. In fact, they were down to 70,000 units in Q3. Half of that PBT number is actually a revaluation game on conversion of our dollar denominated debts mostly, and we'll get into that in later slides. EBITDA out of 11.9%, EBIT was particularly encouraging at 3.7%, significantly higher than the comparative periods. And cash, once we break to that breakeven point with their average transacting values and average GVR being above £70,000 per unit now. It really does escalate into a considerable cash positive 490, the best cash quarter for seven quarters. Next slide, please. Okay. So these are the key highlights. We'll get into some more of the details around these later. The order banks did grow or explain our expectations on that going forward. Refocus did deliver again up to 850 million, which again, we will repeat our confidence in more than £1 billion on that as well. And very importantly, our cash liquidity continues to be strong, 3.9 billion. And we actually secured the extension of our revolving credit facility at the end of December and then into early January, that got extended to 1.52 billion through to April 2026. Next slide, if you would, please. So these are the quarter three highlights on retail and wholesale volumes. You see the big call out at the top there up marginally on wholesales 5.7% or 6%, 15% year-over-year. My focus on retailers, first of all, as I've mentioned, the actual retailers did fall a little bit. This is by nameplate. Basically we've improved the deliveries on defender and you will see increasingly going forward. And now we've moved to three shift on defender. A lot of our orders on the defender nameplate will start to fall in the retailers increase Range Rover hold up. But within that we're starting to improve our MLA deliveries, Range Rover and Range Rover Sport, which is a fundamental improvement in this quarter's delivery. From a wholesale perspective, there are steady improvement 5% or 6% this quarter. Just a little bit more the quarter before. That's a progression we're starting to see now. The progression I think we can start to anticipate going forward. Again, you can see that defender delivery increasing in quarter three to almost 24,000 units and the Range Rovers and Range Rover Sports coming through also as well. Next slide, if you would, please. And this is by region really important. Say those bigger units are Range Rovers and Range Rover Sports. Now, we've doubled the volume of deliveries. They're starting to impact North America heavily. You can see that both on the retail and the wholesale piece. And even though those units were made available within China, of course, the lockdowns in December, within the retailer facilities in China that they weren't in a position to take those deliveries. And so the reduction in both the China retail and wholesale inventory we hold ourselves pending pass over to China. The actual uplift in China in the first three weeks of January is very strong. As those dealer outlets have opened, of course, the dealers who have an appetite to take those units, they're moving very, very quickly. And that will be our anticipation post new year also. The electrified number of units have grown to 67%, but you can see we're in a frame of 65% to 70% now and that's likely to continue for the foreseeable future. Next slide, please. Okay. So the bridge, the bridge versus the same profitability last year about a small loss last year, EBIT 1.4%. So volume mix is starting to influence this considerably. And that would be a shape we would expect to continue going forward. The pricing and VME is still very low and obviously it's corroboratory data around those units actually being passed over very low levels, 0.6% VME and their targeted levels on targeted nameplates within targeted regions. Most of our larger units have zero VME at this point in time. We do, however, as we've talked before, some considerable headwinds on material cost inflation, commodity inflation, utility prices also, but they are starting to peter away. And also we've had to go into the marketplace to buy premium chips to keep supply going. So that's all a part of our material cost. Again, we're starting to see that taper down. And my expectation going forward is that pricing in VME will begin to offset the material cost increases in quarter four and beyond. We are investing more. We're absolutely spending more within our commercial areas, our commercial function. Both our marketing now, our marketing is still only two-thirds of the level it was pre-semiconductors, of course. So coming from a low base, but we will be actually starting to spend more fixed marketing as confidence on supply comes through over the next weeks and months. And particularly our engineering spend to move towards our Reimagine electrified future is starting to increase pace. And we'll show you that in more detail when we get to the capital slide. And the operational exchange is the big news is the revaluation. I've mentioned of our dollar denominated debt, you know, sterling appreciated from 112 to 120 in the quarter. You see mostly that within the reveal line, but our operational position is still ahead of our hedges that crystallized within the quarter. And therefore, there's a net gain on operational FX and that's up to the 3.7% EBIT, £265 million PBT encouraging quarter for us. Next slide, please. So this is the cash that flows from that. You can see the £265 million I have just referenced £800 million cash profit after tax. Look, you know, our model works really well when that number moves up towards £1 billion. That's where we were at the end of FY '21. That's where we expect to get back to over the next few quarters. And that's why the underlying cash flow is still strong, even though investment spending is starting to increase. Working capital was a nice rewind this quarter £306 million but it's only a small fraction of the adverse as we've had on working capital since March 21, £1.77 billion negative from that point. Most of that will rewind as we move through the several next quarters. And what you're looking for here is production and wholesale volumes to grow through 30,000 units a month, then 35,000. And when we get to 40,000 units a month, which is where we were at March 21, most of that will actually rewind. So a lot of cash is going to come through from working capital as we build back our production volumes and our wholesale volumes. Of course, free cash flow £490 million best result for seven quarters, very pleasing on just 79,600. Next slide, please. So this is the break-even slide. I won't dwell on it just to say we're still at the 280,000 level in Q3. It will average eight to around 300,000 full year. We are starting to invest more, including our fixed marketing and our commercial digital strategy, so our costs will increase, but with the mix strengthening on MLA and Defender units, we do expect a containment of breakeven over the next two to three quarters also. Next slide, please. This is the investment number I mentioned. It is worth referencing last year. Last year I had - I think so £622 million in total, up just over £100 million. Pretty much all of that, but more than all of that is in the engineering spends. We are bringing more engineers, of course, into the organization to deliver a Reimagine strategy, our electrified future. And that's starting to impact on our cost base as it needs to do so. More of that is being capitalized now, 48%, which demonstrates the maturity of those architectures starting to grow and improve. We were down at 26% only earlier in the year. So this is actually a good sign. And I do expect investment to continue to increase beyond £650 million towards £700 million over the next quarter or two. Next slide, please, business update, okay the next one. So Reimagine electrified strategy. Look, there's no change to our electrified strategy. I know I'm on record in saying that. I thought I'd dwell here on the key highlights, which is exactly the same as previous highlights you would have seen from our electrified journey. MLA architecture is out there, the beautiful car you see there and it's Range Rover Sport. The order banks have been filled by those two-product it is the epitome, we believe, of modern luxury, beautiful proportions to that vehicle and the Range Rover Sport, the minimalist luxury view inside the vehicle. That's a great signature to vehicles and quality and view of vehicles we will put forward going forward. Within two years, we will have a full electrified BEV Range Rover. It's just two years away now, recognizing our order bank support for that product for the next 12 months or so, the gap between orders and new electrified vehicle is closing and will continue to close as we go through 2023. Well then in 2025 come forward with our first all new electrified Jaguar products. And then beyond that, our other Range Rover and our other Defender products will come along in the next two years. So within two years, most of our vehicles will have full electrified - offerings and that will be complete in all models before the end of the decade. We're estimating 60% of sales by then will be BEV. But the important point, we will have offerings across the range over that period of time. We still maintain zero tailpipe emissions by 2036 net zero carbon emissions by the end of that decade. So our electrified future continues at pace and the investments we're now making are going to grow towards it over the next 12 to 18 months at least. Next slide, please. Okay, so these are our wholesale volumes. You know, I think the important thing here, you can see the gradual improvement, but I like to look at quarter versus last year so Q2 '23 versus Q2 '22. You can see there about a 15% increase. We know Q3, there's a 15% increase and that starts to give you an indication of what we should begin to expect in quarter four. So we are expecting that number to grow in Q4 - and obviously to continue to grow going forward. So we do think we've made a lot of progress on supply, particularly on semiconductors, particularly for this calendar year. But there are still challenges. Of course, COVID in China is a challenge and we'll talk about that in a few moments. But we are improving, break even points are stabilizing, and therefore our profitability, EBIT, revenue and cash will be growing as we go forward. Next slide please. Okay Range Rover and Range Rover Sport, the MLA architecture, are fundamental to the delivery of our business model and our business success. And we explained in great detail over the early quarters of last year how it was difficult for us to gain the parts to grow the volumes. We've broke through that in September, you can see the average weekly has grown quarter-over-quarter. We will deliver more production units in Q4. It won't be that same size of scale of increase, but it will be a sizable 10%, 15% improvement in Q4 over Q3. Also we can maintain our 33% to 35% worth of deliveries on these products and that will maintain our average selling price at the levels you've just seen as well as a strong variable profit mix portfolio going forward. It's really is now starting to show through our business results, particularly in Q3 and going forward. Next slide, please. Okay so, what's going to happen to order banks? Well first point is, they did continue to grow in quarter three and we've helpfully broke out the amount of deliveries we passed over to customers 85,000 versus the amount of new orders 95,000. So at this level of marketing spend and we are only spending two-thirds of the level on marketing we were before semiconductor shortages, but at this level, you can expect new orders to grow by 30,000 or thereabouts a month. But our fulfilled orders, our retails will start to grow now, we're already seeing that in Q4 in part because of the opening up of China, but I do anticipate in quarter four fulfilled orders to be above new orders and therefore, our order banks to start to taper down towards a level which is more natural maybe towards the 200,000 level over the next three to four months, most of them as we've said before in those three nameplates Range Rover, Range Rover Sport and Defender. We have gone to third shift on Defender and therefore, as we come out of quarter four, our deliveries in particular and our fulfilled orders on Defender will grow. And then, we've also mentioned, we expect to build another 10% or 15% more the other two also. So very confident at retail levels or at fulfilled orders are going to move towards a 100,000 level over the course of the next months and quarters. Next slide, please. This is a super important slide. We dwelled on it several times, let me remind you, the top piece is a range of retail inventory targets and that dark blue line is now creeping towards the bottom of that band, which means the vehicles in the right place and that will trigger incremental retailers in Q4, as I've mentioned a couple of times, I run wholesale stock, inventory we own. The band there you see below between 30,000 and 45,000 units. We're still within that band towards the bottom of it, but if you add those two numbers together, 82,000, inventory end-to-end vehicles at the end of December, that was the highest number we had in inventory for several quarters back to around May 2021. So that's a good, healthy sign that we're starting slowly to fill the pipeline, which will trigger more retailers et cetera, et cetera. So this really is starting to improve for us, although there are still issues we can get on a daily basis in terms of supply. Next slide, please. Inflation has been a theme all year. What did we say at the start of the year? We said refocus would offset inflationary claims. Nine months through this period, inflationary claims have been 660 million, refocus has been 850 million, half of which is in the commercial space. So we're doing what we said we would do, the investment number because we mentioned earlier, we are accelerating and bringing more engineers in by future won't be the savings going forward and our expectation is the commercial performance, the market performance will actually then begin to offset inflation in Q4 and beyond together with our efficiencies through our agile transformation activities, which we've referenced previously also. So we are doing and we will do this year exactly what we said we could do in terms of offsetting those high inflationary claims. Next slide, please. You need to mention COVID and China we've all seen the reports and the extent of the contagion within the Chinese population. Q3, it was impacted, of course by lockdowns particularly at the dealers and also some disturbance in terms of the units we could build. Employee absence for a short period was high. I'm really pleased to say that more than 90% of our employees at the production facilities and 99% of our employees within our national sales company have now returned to work. And the retailers definitely opened up for the three weeks in January. Obviously, with Chinese New Year, there's a care point around what happens to the population following that, but we do anticipate, given the scale of contagion in the December period that we will get back to business very quickly in China at the back end of Q4. There is a care point around production facilities in China, supplier production facilities that we are monitoring. We're bring information back around that as we close out the results, but it is possible for us to be scoped within the U.K. production and within need for production and within China production. As a result of those supply facilities, they won't be the scale and the size of the stoppages we've seen previously. We don't believe. Next slide please. Outlook year-to-date I'm throughout on Q3 here, but this is the summary so far year-to-date. I won't read it have to part from, say, we are now EBIT margin positive across the first nine months investment is lower, but growing free cash flow, it's just under $300 million I've shown there. Hopefully, what our expectation is for Q4 above 80,000 units on wholesale maybe closer to 85,000 plus we continue as we have in the first month, revenue will exceed $5 billion, close to $6 billion again. We will be positive on EBIT with that, our investment will grow probably around $700 million, 600 something and our free cash flow. We believe those physicals will be more than $400 million positive, which will make us positive free cash for the full year and the rest of the day, you see there, what are our priorities obviously continue to secure chip suppliers moving through the strategic tie-ups. But to the excellence of the work of the teams now, we really do have excellent teams in place now, ensure we keep our supply and airlines going continue Range Rover, Range Rover Sport ramp up. I've mentioned our expectation that will grow by 10% to 15% in Q4 over Q3 improve on the 80,000 units. We have done in quarter three within quarter four now we focus complete including more of those price increases coming through as we deliver more cost to customers And obviously you know our jobs to deliver positive data. So EBIT margin, and free cash flow in quarter four and also for the full year. Think that's my last slide
P.B. Balaji: Thank you, Adrian. Let's quickly move on to the Tata Commercial Vehicle space. Girish and I will take the session. As if you recollect, we had signaled us earlier saying that we will be focusing squarely on market share, registration market shares and shifting to a demand full business model that did cost a bit of grief in the month of October, but since then we've been sequentially improving our market shares as a propositions are starting to land and we're starting to see this in across the rest of all the portfolio as well. Next slide, please. From the point I would like to call out, you know just take a look at the CNG, the light green bar there, substantial drop in CNG composition as the prices of CNG started inching closer towards the diesel and we should expect to see this trend reverse once the CNG prices start stabilizing and going down. So we are very much invested in CNG, but this is a current ways it's played out. And the other thing that we'll call out here is the whole international business where you would notice that the wholesales have been pretty anemic as a challenge in the international business continues. Next slide please. From a financial performance standpoint, the demand pull model is translating into improved profitability of almost 580 bps. Revenue growth, of course, at 22.5%, pretty strong and EBIT now at 5.9%, up 650 bp. Next slide, please. Drivers of this particular profitability, you would see draw your attention to the realizations adjusted against variable cost. You'll notice this number used to be negative in the past. Now sitting at almost 480 bps as the strategy starts playing out. And what you do see as the software cost disadvantages that have come through this quarter, some of it, most of it related to the investment that we are making in the new technology is translating into higher employee costs. And then of course, investing in the business as they are moving more and more money into SMEs, that's showing the number there. Next slide, please. Let me give it to Girish to talk about the business highlights.
Girish Wagh: Great. Thanks, Balaji. So the industry grew by around 16% over Q3 of FY '22. When I see the growth rates have been dropping now, but this is also due to the base effect. And that's what we will see in Q4 also, the growth rate will go down further. For Tata Motors, since we have been focusing on retail, setting our retails were ahead of wholesales by 6% in the quarter gone by. And this is also in line with our preparation to unwind as we gear up for the RDE transition in in the month of April. I think good thing for industry. The commodity prices did soften in Q3 and that's how it is remaining in Q4 also as of now. And we are keeping a track of how the steel prices especially moves, steel prices and precious metals move in Q1 of next year. Balaji spoke about the CNG. So I think with the CNG benefit going down and more so it is the concern in the minds of the customers about variability in CNG price. I think the volumes have come down and in SCV they've come down to around 12% of the portfolio ILCV we've come down to around 14% of the portfolio and you would recollect in ILCV it used to be almost around 40%. Within the segments, I think medium and heavy commercial vehicles have seen a very good growth, almost 50% growth over Q3 of last year, again due to the base effect and even higher growth in the passenger, the passenger segment is back. I think it was the worst suffering one during the COVID period and during the COVID recovery. For us the non-vehicle business is spare parts I think continues to do pretty well, spare parts and consumables, and in fact in the nine months in this financial year. We have grown by around 38% over last year. And the penetration, also keeps on increasing. So, the share of the overall market is continuing improve quarter-over-quarter. On the product front, we continue to launch new products and for the year, we've launched more than 40 new products as well as 150 plus variants and this includes - is electric vehicle for which we have already started the deliveries in the beginning of this month. The new range of pickups, the both intra and Yodha I think has a very, very good traction in the market. And also good premium that we are able to charge this is a question. And we also brought the CNG trucks, which have started seeing some traction. Coming to Auto Expo, I mean did introduce a comprehensive range and I'm going to speak about that a little later. Going ahead, we will continue to have the focus on these three things, which is retail pull, improving the VAHAN share which is the registration. And of course, while doing all this I think realization improvement agenda will continue. To push this agenda, we continue to engage with all the key stakeholders in the ecosystem, meet customers and financials more so trying to get them on board. I think we see a very good commitment from all the stakeholders to the revised. We were working on the revised operating model that we have put in place. RDE transition is what we are preparing towards migration will happen from April 2023 and of course as we did in BS6 in April 2020 even now I think we will come up with a lot of value enhancement for the customers. So it won't be a plain simple price increase. With the COVID situation globally, we did bring semiconductor supply situation back on our radar. Well it was a bit worrisome 15 days back I think fortnight things have improved, but we will continue to keep this as well as the electric vehicle aggregates on our radar. In international markets, I think in most of the markets, the volumes have dipped significantly more than 50%. And in this kind of an environment, we are focusing on maintaining our market shares in all the markets. Margins - setting margins have also been doing well. And also the channels health, we are ensuring the channel health even at the lower volume, which is extremely important when the volumes start picking up. Next slide, talking about electric mobility, so as I said, I think we completed very successful trials of the ES electric vehicle in our customers' operations, both we started with e-commerce players, but we also had FMCG players joining the bandwagon as also parcel and courier companies. And I think the product has done very, very well which is leading to even more inquiries for the product. I think we started these deliveries and as you can see in the third bullet, we have also now started pulling material from the supply chain although we had a COVID scare, I think we will start ramping up the production of this vehicle. We did showcased almost eight zero emission concepts in Auto Expo, which I'll speak about. On our Smart City Mobility Solutions business that we are put in place, we signed a definitive agreement now with the Delhi Transport Corporation, as well as Bangalore for 1,500 and 921 buses respectively, so that's around 2,421. In addition, we also got an order of 200 buses from Jammu and Srinagar. Our E-Bus fleet now has cumulatively crossed more than 6 crore, 60 million kilometers with more than 95% uptime till December. The revenue generated by this business in the nine months has been INR 260 crores and at this level of revenue, I think the business is giving good profits. On the digital businesses, I think we continue to grow the fleet edge penetration, our connected truck platform with the total vehicles crossing 337,000, which is around 135,000 customers. And the usage also has been growing consistently with - we have now almost 80% being active usage on fleet edge. Our E-dukaan which is our online marketplace, we used to sell spare parts for this. Now, we have also added consumables like diesel exhaust fluid and lubricants. And in addition to that, I think we've also started adding some of our retailers as well as mechanics as customers. So they can also order on this platform and we see a very healthy growth around almost 165% growth over the previous year. I spoke about digital lead generation during the last quarter. And we continue to push this agenda in the entire portfolio. We had almost 16% of our sales coming from leads generated through digital means. We still have a good headroom because the convergence can improve further from the level that we have reached. Next so talking about Auto Expo, I think the whole Auto Expo was making a statement of our journey towards net zero greenhouse gas emissions. So we committed by 2045, we will be the net zero greenhouse gas emissions. And as our commitment towards that, we demonstrated 14 concepts. We had hydrogen propulsion in terms of Hydrogen ICE powered tractor, Hydrogen fuel cell tractor and also Hydrogen fuel cell bus actually will see commercial application from the next quarter. So this is to meet the IOCL order that we had received last year. We also unveiled five electric vehicle concept yes of course the deliveries have started the Starbus EV which is already on the road, Ultra E.9 which is the next vehicle we see having good customer interest Magic EV which is for the last-mile intercity passenger transportation and Prima 28 ton Tipper which is a good option to decarbonize the closed-loop usage of tippers, especially in mining. We also introduced two new fuel agnostic architectures which addresses our entire range from seven to 55 tons and these two architectures can take any powertrain so ICE as well as electric in electric battery electric and then hydrogen fuel cell electric as well as H2X. We of course reviled Yodha CNG and Intra Bi-Fuel which are available for sale now commercial sale. Prima LNG Tipper which is also ready for commercial sale. And we are working with a few customers and of course premium version of our vendor. In addition to this, we also had good interactive exhibits to explain our fleet edge the connected truck platform, the Sampoorna Seva, which is a bouquet of services as also E-dukaan which also attracted good attention. I think this was a very holistic display of - not just our commitment towards net zero greenhouse gas emissions, but also hope we are driving some of the cutting edge products and services. Back to you, Balaji.
P.B. Balaji: Thanks, Girish. Next slide please moving on to passenger vehicles. Next slide, here the call out is the consistent improvement in market shares and a strong growth market beating growth that continues here. And the third call out is, CNG plus EV is now almost 17% of the portfolio. And next slide is - likely to improve further once the new CNG launch is coming as well as Tiago EV launches as well. EV continues to be on a roll, we have surpassed the milestone offsetting 50,000 EV vehicles from the start and for the calendar we - have sold almost 37,000 making almost 1% of our market shares in EVs now. Next slide, from a performance perspective, 37% revenue growth, INR 300 crores almost of profits, EBITDA of 6.9%, albeit the one-offs of about 80 odd bps that you see in the EBITDA there, but EBITDA of about 1.5%. So strong performance continues in the profitability side, we should continue to see a steady improvement on this call. Next slide, in terms of drivers here again, you'll see the realizations and variable cost is now starting to improve further. So the underline contribution margin of the business is starting to improve. And investments fundamentally in the EV business with employees of building up the team that is what you see out there as well as investments in products is what you see on the D&A side. Those are the two things that brought down the fixed cost line. Next slide, please. Let me hand over to Shailesh to give you a sense of the business.
Shailesh Chandra: Thank you, Balaji. Let me start with the key highlights of the industry. Quarter three was a retail heavy quarter, I would say, and the industry reached its highest ever quarter in its -- highest ever retails in its history of more than 10.58 lakhs. And wholesale also grew by 23% as compared to the quarter three of last financial year. EV industry has continued to show strong growth year-on-year versus last quarter 130% growth primarily led by Tata Motors. It is notable to see in the last calendar year which was 2022, the industry pull sale was at its highest level at INR3.8 million as compared to somewhere around 2019 where it was at 3.3 million, 3.4 million level. So steep jump, I would say, nearly 25% growth as compared to where we were in 2021. As far as Tata Motors is concerned, we have been around 14% market share consistently throughout the financial year. PV, EV business has delivered an industry beating growth of 33% of PV and a very high growth for the EV also. Like the industry, we also had the highest ever quarterly retail at 139,000. For the calendar year 2022, we were the third OEM to cross the 5 lac mark. And we also, as Balaji mentioned that during the last quarter, we crossed the 50,000 milestone for EVs since its inception and in the last calendar year this create Balaji will work given it was actually 44,000, nearly 44,000 sales that we did for EVs in the last calendar year. We maintained our number one SUV position as of year-to-date, and Nexon and Punch are among the top three in the 40 plus odd SUVs that we have in the market. As far as EV sales year-to-date is concerned, for the financial year, it is at 32.4 units with a market share of 85%. Going forward, the bright spots, given that the inventory in the channel is green, there are new product launches that we have seen recently in the industry and improved supplies quarter four should be strong as far as wholesale is concerned and as compared to quarter three. And as far as EV growth is concerned, there are a lot of states who have announced progressive EV policies and that should support the EV growth in quarter four. As far as Tata Motors is concerned, the Tiago EV deliveries have commenced in this month. We have a strong order book. We had extended the introductory pricing for the first 20,000 customers, which we have already crossed in terms of bookings. We in the Auto Expo have showcased the Harrier & Safari Red # Dark, and this is going to be launched in this quarter itself. As far as BSVI Phase 2 transition is concerned, it is on track and ahead of the deadline. We on 10th January completed the acquisition of Ford plant in Sanand and we saw very strong response to the product unveils inside the Auto Expo and talk about in the next slide. Going forward as far as challenges are concerned, I think after a long duration of supply driven industry, now we are in a situation where supply has completely normalized. It is meeting the demand for all the regular models except for some popular models which are still high on waiting list. Overall inquiry to the retail time has increased for the industry. You see, this is a signal of lack of urgency among the customer that improve supplies and price increase post BSVI Phase 2. We don't see if there is any impact on the demand, something to be watched out for. In terms of actions, we are willing to go for very focused demand generation initiatives specifically in certain segments as well as hyper markets. And as far as margin is concerned, we are taking structural material cost reduction actions and we'll continue to drive other levers of margin improvement. Next slide. Giving a quick overview of what did we showcase in the Auto Expo. The theme for this Auto Expo was moving India forward to safer, smarter and greener vehicles. And we had about 12 showcases both on EV as well as ICE side. We showcase the Tiago EV, which we already launched. Harrier EV was also showcased. This is a generation two product for us. Sierra EV is slated to be launch in 2025 was also showcased. And Avinya, which is the generation three pure EV also slated to be launched by the end of 2025. These are the four products that we showcased. On the ICE portfolio side, I've already talked about the Harrier & Safari #Dark, which will come with ADAS as well as the bigger infotainment screen. This gets launched in this quarter as I said, it was a big disruption that we have showcased in the Auto Expo, which is CNG twin cylinder technology. I think this segment has always suffered with the handicap of having no boot space because it is occupied by the cylinder and it came with this very innovative idea of having this twin cylinder which releases in the space and retains in a way the boot space, which was otherwise being sacrificed in CNG. This would come in the first half of next financial year. Then we also showcase the ICE version of Curvv. If you remember in April 2022, we had showcase the EV version and along with this product we have also showcased the two TGDi engines in gasoline 1.2 and 1.5 liter, which will help us in coming with products which will be greater than 4 liter in the ICE space. So this was received very well. This is what I wanted to share. Back to Balaji.
P.B. Balaji: Thank you, Shailesh. Next slide, please. Overall CV, PV cash flows draw attention to cash profit after tax strong from and therefore more than adequately funding the CapEx that we have and we gradually clawback the working capital that we lost in the first quarter, so that's what is happening. Next slide please. Investments, you can read for yourself skipping this slide, but just to guide that for the full year, the investment spending will likely to be around INR1,000 crores number no change on that one. Next slide please. Tata Motors spend and I want to take a few minutes on this because this is a disappointment for us this quarter where the GNPA increase that we saw in this portfolio is two reasons. Number one, the restructured book that is actually starting to perform pretty poorly and it's continuing to do bad and going from bad to worse, and as well as a onetime upgradation one time hit because of the RBI upgradation norms that we had. So therefore we have started to get further provisions put through in the restructured book. This is now almost 9% of the AUM of INR41,000 crores that we have and there are lot of efforts underway as you would expect to normalize the static restructured book and therefore this work is going to be pretty intense in this quarter as well. The early results are encouraging and the GNPA starting to reduce November, December and January so far has been trending where the maturity efficiencies improving to 102%. The normal book is quite comfortable. We don't see stress there and capital adequacy also is quite comfortable there. But clearly this is an area where we need to drive a lot of efforts to ensure that we get our collection efforts particularly on the restructured book. Next slide please. Overall therefore our priorities you can read for yourself, but maybe the only thing I would like to highlight is the view on demand which I'm sure a lot of you are asking as well. We remain cautiously optimistic both in JLRs as well as India and there are enough global uncertainty that we are all aware of, but we still remain optimistic and we can't be complacent and hence the work both in JLR and in India on the innovation intensity as well as activating the market and ensuring that we win our rightful place here. And of course, chip supplies are likely to improve further and therefore volumes will continue to ramp up steadily, particularly in JLR and commodity prices, we do expect stability and therefore the focus on profitable growth should deliver a strong EBIT and free cash flows in Q4 as well. So that's what I have to say. The individual priorities by businesses we have already covered. So let me not go through that. Let me start covering the questions that have come through already. We move to the question section.
A - P.B. Balaji: Okay. So maybe let's start with -- I think Ben this is coming your way, Ben or Adrian, either of you can take it. Could you let us know the terms of the extension of the revolver? How much was undrawn and drawn? Interest rates increased by and additionally given the cash cushion the company enjoys, is there a scope for optimizing the revolver debt balance further? And there's another question in terms of also about how much of a repayment are you planning given the cash position there? But you want to just wrap this all up with one response Ben.
Bennet Birgbauer: Yes, I can cover that, Balaji. So broadly the terms of the revolver are in terms of covenants and things like that. The documentation is pretty much identical to the prior revolver, the pricing margin did go up 50 basis points to 3.35%, but that's on a drawn basis and undrawn basis all we do is we pay 35% of the margin. So the annualized cost of £1.5 billion revolver is about £18 million. So it's from our perspective, it's the cheapest fire insurance you can possibly have. In terms of -- is there scope for optimizing the revolver debt balance? Well just because I think it is low cost liquidity insurance and we actually used to have a higher revolver than that, I don't really think we're considering taking down the revolver. We obviously have the net debt target that we're still working towards. But I don't really see changing the size of the revolver at this point.
P.B. Balaji: Thank you, Ben. Next question I think is from Chandramouli, Goldman Sachs. I think, Adrian, this is coming your way. On JLR how are we thinking about the demand outlook once we clear out our strong order backlog. Is the current hawkish interest rate environment were to continue into the next year. What is your view on the market and the next I think the same question coming into Girish later on. You take the first one, Adrian.
Adrian Mardell: Yes. Thanks, Balaji. So from our perspective, look our order banks historical highest to pre-supply challenges that double the level and you've seen the size of the increases that reduction. So we believe our order banks are going to stay naturally high particularly on the Range Rover but we've sold out for more than 12 months now we're not taking new orders until 24 model year and on the Range Rover Sport. Although we're rectifying Defender. So we will see a marginal reduction quarter-on-quarter, but I still believe will be this time next year talking about order banks, which are higher than ideal. So at today's level of known uncertainty in the marketplace on recession and interest rates at the levels we see in front of us going forward today I believe the challenge here continues through '23 to be supply rather than demand. We have plenty of opportunity to increase demand and stimulate that given we're only spending two-thirds of the level on fixed marketing we were 12 months, 18 months ago or so.
P.B. Balaji: Thank you. Thanks Adrian. Girish, just coming your way, same from Chandramouli itself on India's CVs, however we are thinking about price hikes heading into the stricter emission standards beginning '24 FY '24, is it going to be all at once or more phased in nature?
Girish Wagh: So the cost increases for RD are going to be lesser as compared to what we had seen in BSVI phase-1. But even in this BSVI phase-1, I think we had taken all the increases or the price increase in, one go. I think there is only one another factor that we have to keep a watch on which is the commodity increases, which may happen again in Q1 of next financial year. And this is both these things put together we'll see what is the kind of price increase which has to be passed on. But from the point of your RD, I think it will also vary model-to-model, but mostly it will be passed out in one go.
P.B. Balaji: Just sticking to you, it is from Sonal Gupta, HSBC MF. LCVs, while MHCV is showing strong growth, LCV segment is showing a decline. Can you highlight the reasons?
Girish Wagh: Yes, so I think it is more of ILCV which is showing a decline, which in our parlance is seven to 15 tons, but now it has gone up to seven to 18 tons. So as you rightly pointed out, MHCV is growing because of higher freight availability. I think this year, we'll see that the freight supply is actually more than the trucks, which are being put into the market and therefore fleet utilization is going up. As far as ILCV is concerned, one of the thing, which is playing out is the base effect, right. So the decline, which had happened in ILCV, was much lower than that of MHCV, number one. And number two, we also see that in ILCV one had seen a significant penetration of CNG where to some extent the diesel vehicles were also underutilized and the last portion of CNG got pushed in or bought in more so. And I think those are coming back for usage now. So it is more of a base effect. And we do expect that this year while the MHCVs may grow about 45% on a year-on-year basis for the entire year, ILCV may end up growing only 14% to 15%. I don't know whether in LCV you were also referring to the small vehicles. So let me talk about that also. As far as small vehicles are concerned, even here, I think it is the base effect which is coming in, but this continues to grow. The growth rate is tapering quarter-over-quarter, but still I think it appears that for the entire fiscal we should see a growth rate of more than 20%.
P.B. Balaji: Yes, thank you. Adrian, this is coming your way this is from Jinesh Gandhi yes in terms of JLR, you've talked about higher inflation and supplier claims largely related to constrained volumes. Can you talk about the quantum of these two, till what production level would you have to compensate vendors and the still - related question also chip related cost inflation is expected to start moderating in CY 2023 as supplies improve? Is that a fair assessment? And you also talked about increased SG&A spend. What are the targeted levels to which you want to increase SG&A spend so maybe three distinct questions there?
Adrian Mardell: Yes okay, so let me talk them in order of they were asked, so look the inflation claims and the reason for supply claims. There is, multiple reasons below that and in terms of the level that we expect to be normal. If you go back to FY '21 and - on previous calls, I've referred to FY '21 a lot before supply constraint. A normal level for us, we still believe will be the 120,000 units, plus a quarter 40,000 plus a month 500,000 a year. And once we get towards that level will be clear how much more we can push it beyond that. So for a normal environment and our suppliers set up for normal environment. We would need to build wholesale 40,000 plus units a month, and we're just above 26,000, 27,000 at the moment. So there's a long way from today to normal, but we do believe that increasingly quarter-over-quarter. We will in calendar year 2023 move towards that normal level until we get 40,000 to that level. A number of the reasons for the claims in particular, the utilization of supplier factories which are within this number will still be there. Once we get to that level, if we have no unnatural requirement to go buy parts outside of normal channels that's eliminated then again we will eliminate another course scored in our premium parts or chip supply from - the vendors, the brokers that will be eliminated as well. However, we will still be left with commodity prices at the moment, they are looking to be heading more aggressive against us and they will still be there and a lot of our contracts with suppliers have a pass-through on commodity costs. So there will be some level, that's the only problem we have. We'll probably, won't be talking about it by the way, but it's wrapped up within that 200 plus million a month, including some more on utilities lower than it was and including the wage the wage demands that, which hopefully will come down with the interest rate pressures that going to be pull out.0 From an SG&A perspective, we will increase spend, but revenue will increase as well. So think about SG&A increasing commensurate with improvements in revenue. It's just about 9% of revenue today, maybe a - shade, over think about that being a broad guideline going forward on SG&A. So we won't be spending above our entitlement to spend, but as revenue grows, we'll need to stimulate some of that demand both of those datasets would increase.
P.B. Balaji: Thank you. I understand some of my questions are - it's a bit muffled I'll try - my level best to increase my volume. Next question comes from Rakesh Kumar, Adrian, back to you again with PHEV incentives coming down in Europe, do you see risk to JLR compliance with CAFE targets and given the JLR's FCF generation in third quarter and seasonally strong fourth quarter is there FCF breakeven outlook for FY '23 conservatives and I'll separately, pick up the - Tata's battery manufacturing plants in Europe?
Adrian Mardell: Yes, okay so if I take the PHEV one before. Look, we've been very consistent on PHEV volumes over the last several quarters around 11%. We obviously monitor this really carefully, when I look at the order bank that we've referenced the PHEV orders now - order bank actually slightly richer than that at the moment, so up to 14%. So there is no indication at this point in time that any customer incentive changes on PHEV as having a sizable impact on the orders that we actually receive nothing at this point in time. So I'd say what we see today no, to the first one. There is no impact on PHEVs. We don't expect to be non-compliant in Europe over this next phase either. The strong JLR cash flow in the third quarter. I think if we go back to the page that we talked to earlier, we are expecting a strong cash flow in quarter four. The underlying cash should be broadly at the level that we saw in Q3 maybe around the £200 million. I'm hopeful cash from operations will increase a bit with the increased volume. Our investments are going to increase as well as we've said. So maybe those two will balance out. We're only three weeks through the quarter. There's 10 weeks to go on the supply obviously still be in fragile things can change. But that's what I see today broadly speaking, underlying cash been similar if not a shade higher in Q4 over Q3. So working capital was a big build back this quarter £300 million that probably is going to fall a little. It really depends on how many units we actually built in the March, the mid-February through end of March period, but it's likely to be less than the £306 million. So we see - in total of the total cash to be slightly lower in Q4 even though the volumes are higher because that working capital point. But we do believe that's going to drive us through breakeven maybe up to £100 million in total for the full year.
P.B. Balaji: Thanks, Adrian. On the battery plants for Tata's in Europe, I think as we had mentioned earlier as well, this will be a Tata Sons entity that we're investing where you have JLR and Tata Motors as two anchor customers and locations, India, and Europe. Obviously at this point in time - this is all that I can share. And as and when we are ready to announce more, we will talk about that? Okay, this question is actually coming on popular demand and therefore, Shailesh is coming your way. Considering the strong EV order book, what is the rationale for the price cut in Nexon variant that we saw two, three days back? And what's your take on the brand impact for the price cut? And is it supported by cost reductions? Multiple people have asked it in different ways, but this question is non-stop. Over to you.
Shailesh Chandra: So the call on price cut has been taken after – holistic, consideration taken into account multiple factors. One is that we have a future growth aspiration as far as Nexon EV is concerned and with the improving capacity and supply, I think this was one be consideration. Also the visibility of underlying structural costs and in which we have been able to reduce over the last two to three years effort of the deeper localization that we have been working on. There is also an added factor of - depending PLI benefits also that we look relative price positioning of our entire EV portfolio and mostly importantly, keeping the value proposition fiercely strong in the changing competitive landscape. So these were the four, five factors I would say that has really gone behind this. As far as brand is concerned, I think Nexon brand enjoys a very strong referral from its large customer base of 40,000 plus now. And in terms of its value proposition, it is the best in terms of compelling mix of our best tech features, premium and cable experience, multiple range options. I think the revised pricing action with improved range only makes it higher on consideration and more desirable for our customers, so I think this is the thought which is gone behind this.
P.B. Balaji: Yes thanks, Shailesh. There is question on ADRs, which I thought we expect, but if I just pick it up, why did Tata Motor decide to delist ADRs, is the cost of complying versus pressure on shares on account of shareholders who don't want to invest directly in India, management thoughts. We had explained that the original purpose with which ADRs were listed, I think is probably now not relevant anymore. And with the Indian market getting deeper and wider, there is no constraint on fund, raise and also all our bond issuances anyway we don't need the ADRs to be listed there to do that. And at the same time compliances are getting more complicated and therefore, we just decide - the risk reward equation one looked at it then make sense for us to continue as part of simplification, we have not all that's the background to it. They stand delisted as of yesterday. What is now the net auto debt deleveraging timeline for Tata Motors? I thought I already covered it. Maybe I'll just talk about the second line. How does the listing of Tata Technologies help towards that, we have announced our intention. It's now our Tata Technologies Board position and therefore we will be working with them closely. Question from Gunjan. Could you talk about the impact of RD for both CV and PV, I think what Girish have already covered that piece. Also an update on the discounting trends in CV industry, update on the Tiago EV order book Shailesh and we already talked about the price cut in Nexon. Why don't you finish that and then I'll go to JLR on the VME trend?
Girish Wagh: Yes, so I think on the discounting as we have been speaking about it for the medium and heavies and intermediate and light commercial vehicles. We have started pulling back the discounts from the month of September and we see a good impact of that flowing into our results for Q3. And we will continue to be on this path even in Q4 to bring down the discount and also bring more transparency in the systems. As far as small commercial vehicles are concerned I think this discount reduction in Germany - we have started even earlier right from Q1 of this year. So we will continue that as well, and ensure that finally it - helps us build margins in each of the product mix. Shailesh?
Shailesh Chandra: As far as Tiago EV order book is concerned, I already mentioned that we crossed 20,000 which was the size which we had kept for the introductory price so that is the status as of now. As far as delivery is concerned, we started the deliveries - sorry we started the supplies I would say last month itself. And this month, we are ramping up and I think we have kept a target that we should always keep the waiting period within six months and that will be the intention. We have kept some level of fungibility between the electric vehicle models that we have. So we will be able to temporary ramp up to ensure that the waiting period is kept within a period which is acceptable to the customers.
P.B. Balaji: Thanks Shailesh. Adrian, the third point is coming your way - in JLR how do we see the VME trending given the macro and aggressive pricing from EV OEMs. I think Morgan Stanley also had a question on this one?
Adrian Mardell: Yes, thanks Balaji look we're not seeing any signs point in time of lifts in VME even though I can understand the sentiment behind the question. I think in the environment we're in. While we still have had demand and orders increasing above supply that will to continue to be the place and VME is mixed by region and by nameplates, of course. And with the bias that we have, and the customer orders we have on Range Rover, Range Rover Sport, Defender North America and China they are the big buyers as within the data today. You know the Armstrong VME is 0%, 0%, 0%, 0% and 0% so with this level of order intake and the buyers to those products and - instability within the production and supply pipelines. We will continue to be very, very low. There will be a point in time where that stuff will start to lift. And so another question you asked about what normal is? If normal 40,000 units a month plus for us, which likely is I think it's reasonable to assume at this point will be passing more, but there non-big three units to the other regions. And then VME will start to gradually lift to 2%, 2.5% level at some point we're not seeing any sign of that within the data we have today.
P.B. Balaji: Thank you. Next question I move to Raghunathan from Emkay. The other questions have been answered, but the one that is new, which is on the EV/PV subsidiary from when would you get PLI scheme benefits. And are you currently accounting, how are, you accounting these incentive as part of the PLI benefits itself is concerned the key is to ensure that the domestic value addition norms are met and we are getting our vehicles accordingly certified. And at this point and we will have to file when the financial year is over, then you file for the PLI benefits and you'll get it subsequently. Given the fluidity of the situation at this point in time and we are going through the process and the first time that we will be filing this year currently no accrual is being done on these incentives and once we get one round of things coming through then we'll be in a position to review it on that one. Okay. We already explained that one - just capacity, I think Hitesh Goel, CLSA. What is the domestic passenger vehicle capacity currently and when is the Ford capacity coming on stream?
Shailesh Chandra: Yes, so as far as our capacity is concerned, we have been now at around 50,000 per month. We have further the ability to debottleneck the capacities in our two plants which is in Pune and Sanand which is the existing facility not the Ford one, by an additional 10% to 15%. And we are targeting to operationalize the Ford plant in 12 to 18 months timing.
P.B. Balaji: Yes, thank you. I think there is a question from Jinesh on passenger vehicle, a sharp drop in other expenses on a quarter-on-quarter basis, was there any one-offs? I think most of it is linked to just cost facing across quarters nothing to read in it beyond routine stuff there. Then other one is in terms of when can you expect to see these exciting products that we were displayed in Auto Expo?
Girish Wagh: Yes, so none of these products were concepts, these are products all going to come into two, three years' timeline. We already mentioned about that Harrier EV is going to come in 2024. Sierra and Avinya will come in 2025. These were the three electric vehicle products that we had shown, Tiago is already launched that was the fourth one. As far as ICE products are concerned, Curvv is also going to come in 2024. Then the CNG models which were being similar model of Punch and Altroz already mentioned earlier that it's going to come in the first half of the next financial year, those are [indiscernible].
P.B. Balaji: Thank you, Ben. The next question is from [Jemma]. This is on -- can you confirm if you still be looking to use cash to repay the 2023 maturities versus refinancing through the markets and the breakeven guidance implies 300 million HCF for the last quarter, which I think Adrian has already addressed that. So Ben, can to take the first piece?
Bennet Birgbauer: Yes, on the refinancing, so I think the default or base plan is that we had an expectation of circa £750 million, £800 million of cash flow in the second half which Adrian already talked about and that would be sufficient to cover on the two bonds we have maturing in February and March for £800 million equivalent and it's probably also worth mentioning that in June of this year, we had a £600 million equivalent on China bank loan due to mature. And actually we signed an agreement in January to extend that for three years from January of this year. Some maturing the facility will end in January 2026 through our annual reviews. So we've at least pushed out the maturity until January of 2024.
P.B. Balaji: Thanks Ben. The next set of questions coming in from Kapil Singh. First one to you Shailesh Tiago EV, what's the percentage of first-time buyers that you're seeing in the order book?
Shailesh Chandra: You know first time buyers roughly 25% to 30% is what we are seeing who are buying a car, for the first time that's substantial in electric, but we are not never see this mostly the people had worked buying this as a second or the third car. Although a high percentage was using this as the only car and also the primary car. It's first time buyers we have seen significant size of buyers.
P.B. Balaji: And related question is this gross margin dilutive for the PV business and the initial stages. Yes. But after that it will start trending towards the margins of the main medical will be making. But that's over a period of time. But that's part of the planning that we have for the overall portfolio. City Sentiment Index, Girish what's your latest since record.
Girish Wagh: I think in M&HCV Cargo we have seen some softening but I can probably attribute that to post festive season drop in fret, so future expectations still remains strong. In tippers the Sentiment Index has improved marginally. That is also expected because the previous one was during monsoons were the tipper usage is low. In ILCV it has dipped a bit again because of post season post festive season impact and for small commercial vehicles it remains quite stable.
P.B. Balaji: Yes. And linked to that question from [Rajesh Iyannar]. In the medium term how is fuel mix change happening as far as your opinion between CNG, EV adoption bus, ICVM, how does it -- how should one think about it.
Girish Wagh: So I think as we go ahead the pathway is going to be through CNG or LNG. As far as CNG penetration is concerned, currently I think the bigger anxiety is the volatility in CNG prices with the CNG prices actually went up very fast. So that is a bigger anxiety in the minds of the customers with actions that the government has taken, and once the CNG prices do stabilize at this level or a bit lower level CNG vehicles do have an inherent TCO advantage. So one will see a fair bit of penetration happening again in ILCV and SCV segments. As far as long range is concerned, yes, I think two customers will start coming in because I think the OEMs have addressed the range issue. So we have some trucks which we launched which can run for 1,000 kilometers on CNG. As far as LNG is concerned, I think this depends on availability of filling infrastructure, otherwise I think we are ready with the product. In terms of EV, I think one we clearly see higher penetration in buses first because of the government push. And one will also see a good penetration happening in the last mile distribution due to the pull from companies who are having their own net zero greenhouse gas emission commitments. I think that's how we will see EV penetration happening more in buses and small commercial. Shailesh?
Shailesh Chandra: I have to talk about the CV?
P.B. Balaji: Yes.
Shailesh Chandra: My view is that, see if we have to take a view by the end of this decade, the mix will be around 25% to 30% for CNG, 25% to 30% for EV and rest would be gasoline, but the timing of ex-fuel, because that is the direction investing are going. Diesel will significantly come down below 5%. So, that's probably the outlook.
P.B. Balaji: Thank you. The question from Binay Singh, Morgan Stanley. We seeing price cuts in EVs in China and other regions, do you see that as a risk to ICE pricing for the entry level cars? As well as -- as JRR launches in EVs as well, that's another angle as well?
Adrian Mardell: Sorry, Balaji.
P.B. Balaji: No, I'm saying, with the price cuts that we're seeing in China, do you see that as a risk to the ICE pricing for Jaguar entry in mid and large, and EV profitability as JLR launches it's EVs in 2024?
Adrian Mardell: Yes. No, we don't at this point actually recognized another a lot of our smaller units, smaller value transacting price units in China are generated within China within the joint venture. We don't see any risk at this point in time or any evidence of this until weakened prices for any of our imported, was in fact, the VME reference back to the previous question, the average VME last quarter, which will be the first sign of that of course, the average VME last quarter was as low as 0.8% across all units imported into China. So we've seen very, very low levels and strong demand at this point.
P.B. Balaji: Thanks. And on the PV side we already answered the question on the EV price cuts that have happened, but another angle to it, with the raw material cost index not coming down, how do you see the EV profitability going forward.
Adrian Mardell: I think we need to keep in mind that one, there is a relative premium that a customer is ready to pay for EV versus ICE and that is about 25% to 30%. ICE prices are going to go up, so therefore it will support the higher price for EVs, while the secular trend of the competence for EVs will keep on coming down, there has been a temporary volatility that we have seen in the battery prices, which was very steep last calendar year. But also already has started moderating. This year we have more long-term view of the battery prices, rest of the companies are coming down also as the scale is increasing. So there will be short-term pressure on the cost because of these temporary volatilities but we have to focus on driving the scale because that is what is going to bring down the cost further as we are driving the deeper localization. You also need to remember that the next three, four years will be the benefit of PLI also which we indicated. And so I think keeping all these in mind, it is going to be in mid-term very beneficial from a mix perspective.
P.B. Balaji: Thanks Shailesh. I think with that we are done with all the questions that I've been asked in terms of just the team rather than the names. So there is anything else that you want us to answer, I would suggest reach out with the Investor Relations team and will be more than happy to respond to you. So thanks a lot for taking the time to attend the session. We hope you found it informative and look forward to catching up with you soon. Thank you.